Brendan Horgan: Good morning, and thank you for joining the Ashtead Group Q3 Results Call. I'm speaking from our field support office in South Carolina. Joining on the line from our London office are Michael Pratt and Will Shaw. Before getting into the highlights, I'd like to take a moment to thank our dedicated team members across the group. After experiencing nearly a year of COVID-19's direct or indirect impact on all of our lives, it's easy to understand how fatigue, whether mental or physical, can impact and distract the task at hand. During this period, however, our team has come through for our customers and communities as essential service providers, whether on the front lines, setting up and maintaining testing and vaccination sites, responding to natural disasters or serving any of our broad collection of customers, the team has done so with an unwavering commitment to making safety the first priority. At the 3-quarter mark in the year, our business units in the U.S., Canada and U.K. have once again posted their best ever to date safety results. This is another milestone along our path of continuous improvement in safety, and I am extraordinarily appreciative to and proud of our team members for this performance. Moving now to the first half highlights on Slide 3. Our performance in the quarter picks up where we left off in December at the time of our first half results. Our ongoing theme of focus on our stakeholders remains and again, the results today demonstrate that we have come through for our people, our customers, our investors and our communities. This performance showcases the increasingly diverse business we've worked to build over the years, a model which has done well in good times and now through more challenging times in the cycle, like we've experienced this year. The work I referenced has been part of our very intentional strategy, born as we exited the great financial crisis and comprised of 3 key themes: one, diversify our business into broader end markets to be less reliant on construction; two, strengthen the balance sheet to fund and support our growth model and put us in a position of strength to take longer-term decisions at all points of the cycle; and three, invest in people, technology and system improvements to make us more agile to adapt to customers' ever changing needs. Each of these contributed to improving the reliability of rental as an alternative to equipment ownership, hence, increasing rental penetration. The quarter represents another market share-gaining, industry-leading performance with encouraging sequential momentum in our general tool segment and ongoing growth within our specialty business, making more clear the structural change opportunities that will fuel our growth into the future. This revenue performance and continued cash and operating cost discipline throughout the year delivered 9-month record free cash flow of GBP 1.059 billion. Contributing to reducing our debt and lowering leverage to 1.6x net debt-to-EBITDA near the lower end of our target range. Our organic expansion continued with 17 greenfields added in the period, returning to a good cadence, which we will continue. With another quarter under our belt and momentum continuing and despite the challenging market conditions, we now expect full year results ahead of our previous expectations. Turning to Slide 4, I'll add some specifics to our full year outlook. Beginning with rental revenue in their respective currency. We improved the U.S. guidance to the better end of our previous range at minus 4%. Canada and the U.K. remain at a growth range of 15% to 20% for the full year, and these movements amount to improving the group outlook to circa minus 4%. From a CapEx standpoint, we will finish the year near GBP 700 million, reflecting again the ongoing investment in the growth of our specialty business and response efforts across all of our divisions. Our free cash flow will be around GBP 1.2 billion. And on that note, I'll now hand it over to Michael to cover the financials in more detail. Michael?
Michael Pratt : Thanks, Brendan, and good morning. The group's results for the 9 months are shown on Slide 6 and show a strong performance in what continues to be an uncertain environment. Group rental revenue declined 3% on a constant currency basis. This revenue decline had a negative impact on margins, reflecting in part our decision not to make any team members redundant as a result of COVID-19, not to reduce pay levels nor take advantage of any government support programs. Throughout this time, we continue to invest in the business, including our technology platform and our rental fleet to ensure it was serviced, well maintained and rent ready in advance of the recovery in activity. Furthermore, in addition to not reducing pay levels, we continue to pay bonuses and made additional discretionary payments to our skilled trade workforce as a mark of thanks for their hard work and dedication in working safely in a far-from-easy COVID environment. While this was a drag on margins, the EBITDA margin was still a healthy 47%. With an operating profit margin of 24%, underlying pretax profit for the 9 months was GBP 763 million and earnings per share were 127p. Turning now to the businesses. Slide 7 shows the performance in the U.S. Rental and related revenue for the 9 months was 6% lower than last year at $3.7 billion. As we've discussed previously, we took an early decision at the onset of the pandemic to protect our most valuable asset, our people. And as I mentioned earlier, we have been proactive in retaining them and looking after them. Furthermore, we've continued to invest in the business, particularly in our technology capabilities. These factors have enabled us to not only maintain customer service levels but improve them. As a result, drop-through of rental revenue to EBITDA for the period was 74%. While this approach had a small negative impact on margins, it has been more than vindicated by our significant market outperformance as we take share. Margins were also affected adversely by used equipment sales. While second half values remain healthy overall, our proceeds were affected by both the type of assets we sold and the sales channel selected for disposal. This accounted for a 1% drag on margins. Despite these factors, the EBITDA margin was still healthy at 49%. Operating profit was $1.1 billion at a 27% margin and ROI was 18%. Turning now to Canada on Slide 8. Rental and related revenue was 13% higher than a year ago on a reported basis at $310 million. This includes the impact of William F. White acquired in late 2019. On a more comparable basis, excluding William F. White, rental revenue was 8% lower than a year ago. The Whites business was severely affected by the pandemic but has bounced back strongly since production resumed in August and September and generated record monthly revenue in November. These factors contribute to the Whites business generating a profit of $12 million for the 9 months, which was a slight drag on Canadian margins. The legacy Canadian business's EBITDA margin, excluding Whites, was improved at 44%, and it generates an operating profit of $52 million at a 19% margin. This is an impressive performance in this environment and demonstrates strong cost discipline in what is still an immature business, which does not yet have the benefit of well-developed clusters or the depth and breadth of our full range of specialty businesses. Turning now to Slide 9. U.K. rental and related revenue was 8% higher than a year ago at GBP 341 million. This was a strong performance as the breadth of our product offering and commitment of our team members enabled us to support all our existing and new customers and provide essential support in the national response to COVID-19. Our support from Department of Health accounts for around 25% of revenue in the 9 months. Turning now to the cost base. This reflects our continued investment in the operational infrastructure of the business as part of Project Unify and the cost to service the Department of Health test sites. Our investments in the operational infrastructure included a charge of approximately GBP 10 million to reshape the operating footprint of the business taken in the second quarter. This was taken with impairment charges included within depreciation for the period. These factors resulted in an EBITDA margin of 31% and an operating profit margin of 9%. As a result, U.K. operating profit was GBP 39 million for the 9 months. Slide 10 sets out the group's cash flows for the 9 months and the last 12 months. This slide tells a powerful story and demonstrates the strength of our business model. We have maintained a strong focus on working capital management, particularly the collection of receivables, which has resulted in cash flow from operations of GBP 1.7 billion in the 9 months. This, combined with the decisive action we took to reduce capital expenditure in the current environment, result in record free cash flow for the 9 months of GBP 1.059 billion. As a result, we've generated GBP 1.5 billion of free cash flow in the last 12 months. It is important to recognize that while we've reduced our capital expenditure this year significantly, this has not been at the expense of the future. We have executed on our fleet disposal plan as intended, but with lower demand overall, we've replaced only highly utilized assets and spent the balance on growth assets where demand is high, particularly with our specialty businesses. This is where we get the phrase "growth disguised as replacement" when talking about capital expenditure. That said, as you can see in the middle of the slide, we have spent absolute growth CapEx in the period, which has been to meet demand in servicing the Department of Health in the U.K. and in our Canadian lighting and grid business, resulting in fleets larger than they were a year ago. Slide 11 updates our debt and leverage position at the end of January. We use the cash generated in the period to reduce debt and leverage, which at 1.6x, excluding the impact of IFRS 16, is towards the lower end of our target range. To put this into context, as you can see from the chart on the top right, this is as low as leverage has been in January in the period since 2012. And in reality, since long before I joined Ashtead. This point is worth dwelling on. Never has the flexibility of our model been more clearly demonstrated than in this year of adversity. Our ability to flex capital expenditure down at short notice and generate significant free cash flow against an adverse market backdrop has enabled us to reduce leverage from 1.9x a year ago to 1.6x at the end of January, despite lower EBITDA. This is the strength of the model. As we've said on many occasions, this strong balance sheet and flexibility gives us a competitive advantage and positions us well for the future. It is important to recognize that this has been achieved while we have continued to invest in the business through retaining our people investing in our technology capability, greenfield openings and additional capital expenditure to both support the pandemic response and take advantage of growth opportunities. It is this position of strength that has enabled us to outperform the market and take share. Our debt facilities are committed for an average of 5 years at a weighted average cost of 4%. Both our leverage and well-invested fleet continue to provide a high degree of flexibility and security and enable the business to be on the front foot despite these more uncertain times. And with that, I'll hand back to Brendan.
Brendan Horgan: Thank you, Michael. We'll now move on to some operational and end market detail beginning with Slide 13. As mentioned in the highlights and as illustrated in the top left, the sequential momentum in the U.S. general tools segment gained traction through the third quarter. Our Q3 rental revenue on a billings per day basis was 3% lower than last year, with general tool improving to minus 4%, and our specialty business delivering another quarter's growth of 6%, similar to Q1 growth levels, absent a very significant hurricane impact during Q2. As I said in December, it is clear this performance in general tool and specialty have outperformed the market, highlighting both the diverse end markets our business now addresses and the uniquely powerful cross-selling capabilities our model delivers. Coming as no great surprise to us but I'm sure welcome news to our stakeholders, our business has performed well in these unprecedented markets, doing so while exercising discipline in rate. And again, consistent with the experience in quarter 4 of last year and our first half, rates again remained sequentially flat during a period when seasonal declines are usually present. This is a really good sign for rates as we enter the spring season. Turning now to Slide 14, we'll cover the latest U.S. construction and rental industry forecast, both through 2023. The Dodge data covers the significant decline in starts we experienced beginning in March, amounting to full year impact of minus 9%, which factors into a put-in-place forecasted decline of 4% in 2021, followed by a consistent recovery in 2022 and 2023. The rental market as reported by IHS reduced by 12% in 2020 and is forecasted to improve by a modest 1.5% in 2021, recovering nicely thereafter through 2023. Our individual results have again outperformed construction and industry figures. As I always point out, these forecasts are not our own, rather a collection of the best available market data. Our team stays in constant discussion with firms like Dodge to understand their views and gain granular insight, both geographically and in specific construction component trends, all of which we verify and balance with our broad on-the-ground team, who is closest to the customer. With forecast like this, coupled with the underlying uncertainty in these times, and our results thus far, validate further our conviction that customers are increasingly choosing the flexibility in OpEx deployment available through rental versus the long-term commitment and ongoing cost of ownership related to CapEx. Beyond construction, we service a broad collection of end markets that make up more than 50% of our business. We covered this in quite a bit of detail during our half year results, and we'll do so again as part of our April Capital Markets Day. Moving on to Slide 15. You'll see an update to the industry supply and utilization data we first shared in December. The industry discipline trends as it relates to rental fleet supply and the effect on utilization and rate remain intact. As the top left graph illustrates, at the start of the COVID impact on our markets in March 2020, the industry's rental fleet was 9% larger than the same point the previous year. Whereas today, the industry carries a rental fleet 5% less than at the same point a year ago. This reduction in rental fleet for the rental companies compiled within the Rouse data, amounts to nearly $3 billion of fleet no longer in the market, roughly amounting to the rental fleet of the third or fourth largest player in the space. This is no small movement, which took place in a remarkably short period of time. Further, as indicated in the graph on the bottom of the slide, the industry entered March, lagging utilization levels enjoyed the previous year by 4%. Today, the industry is in better form from a supply and demand perspective than it was pre-COVID, having reduced the year-on-year delta to roughly 1%, now very close to last year's levels. This clearly demonstrates discipline present among industry leaders today, managing supply levels through reduced new fleet landings and accelerated asset disposals, done in a manner that has maintained healthy secondhand equipment values and contributing to the ongoing rental rate resilience I referenced earlier. We've experienced another quarter of results and discipline, reflecting an industry behaving rationally, very different than the industry acted in 2008, 2009. Moving on now to our business in Canada on Slide 16. Performance in many Canadian markets are showing similar trends to those in the U.S. and our market position has continued to improve as we grow our cross-selling capabilities through our ongoing expansion of general tool and specialty businesses. We experienced some headwinds through the quarter as Ontario renewed lockdown levels, which left a number of projects dark and ceased new project starts. This impact is seen in the new fleet on rent chart on the right side of the slide, as we were back to prior year volumes in the immediate period preceding these lockdowns. At this stage, we expect those which were postponed to return in early spring and the projects which had not begun or were stopped from beginning to begin again. The rebound in activity, our lighting, grip, camera and studio business, William F. White, experienced late in Q2 has continued. We experienced, by some distance, our best ever month in November. And December and January were the best of their time as well. Need for our products and space is incredibly high as the streaming industry works to fill ravenous content demand. We have secured a number of multiyear agreements in our studio space, which will lead to increased lighting and grip rental as well as abundant cross-selling for our general tool and specialist products. We are seeing no signs of this momentum slowing. From a construction and rental market forecast standpoint, the permit value shows another year of weakening before returning to growth in 2022, while rental market estimates are little changed from the November estimates we previously shared. Our runway for growth in Canada remains long. Turning now to Sunbelt U.K. on Slide 17. Picking up very much where we left off at Q2, Sunbelt U.K. had a good quarter. Revenues were up plus 50% and profits more than doubled. The model is gaining momentum as Project Unify continues to produce wins on many fronts. This quarter's performance has been driven by the underlying business, which excluding Department of Health work, gained profitable market share resulting in revenues slightly ahead of prior year levels. Beyond this, the year-on-year growth has come from providing infrastructure services through a broad range of our general tool and specialty divisions for nearly 500 COVID-19 testing sites, all of which are ongoing. We have again increased CapEx to support the ongoing DOH work, which will contribute to our future positioning as we are adding the most modern and environmentally friendly products that will be long needed in the business post the COVID response efforts. Despite this increase, the business will deliver strong free cash flow, demonstrating our ability to grow organically while maintaining this free cash flow. As I mentioned in December, we remain in the relatively early stages of forging our path to sustainable long-term results and returns in the U.K. At this point, we are encouraged with the results and the team is clearly focused on executing on the plan. You will hear from the U.K. team during our Capital Markets Day in April, where I'm sure you'll gain a better appreciation for these ongoing plans. Moving on to Slide 18, I'll cover our CapEx plans. Beginning with the current year, we revised up slightly our gross CapEx range to GBP 670 million to GBP 720 million, largely resulting from the previously mentioned response-related fleet additions. I'll remind you that we began the year with a range GBP 200 million less than where we will end as we experienced a sequential increase in demand and fueled our specialty and response-related growth throughout the year. Our initial guidance for fiscal year 2022 returns to CapEx similar to investment levels deployed in fiscal 2020. Each business unit has gone through an extensive fleet planning exercise and said simply, this level of CapEx corresponds with replacement of asset classes that continue to deliver strong utilization levels and therefore, demand, as well as growth in accordance with our existing store and expansion plans for the year. This amounts to a gross range of GBP 1.3 billion to GBP 1.5 billion. I'll remind you of a phrase you often hear us say as late as during Michael's piece this morning. There will be some amount of this fleet investment, which will be growth disguised as replacement. We will continue to invest in products that are in demand throughout our geographies. There will certainly be markets where we dispose of aged assets that are not demonstrating high utilization or demand and place new, like or different assets in another market where customer demand is present. As such, our guidance does not categorize growth in replacement, rather simply gross and net CapEx. Turning now to Slide 19 to review our capital allocation priorities, which is they remain unchanged, should come as no surprise. We've been investing rental fleet CapEx in specific areas of need, notably in relation to our COVID response efforts inside of our specialty business in general and in support of our greenfield program. This level of investment has contributed to the overall level of discipline in the industry as we manage the supply side of the market, both in terms of landings and disposals. Our greenfield program is now back to a healthy pace as we will approach 30 greenfields in the year. From a bolt-on acquisition standpoint, I'm happy to announce we closed on a small bolt-on, February 3. I'm excited to have returned to this important component of our growth plan. There is a long list of potential bolt-ons, given the incredibly fragmented nature of our industry. As has been the case, we have a dedicated team who stays actively engaged with business owners throughout our industry. And when there is a good business that fits our strategy and a willing seller, we are happy to proceed. I'm sure there will be another bolt-on or 2 before Q4 is over. Our interim dividend of 7.15p was paid in February and the resumption of our buyback program remains in review with respect to timing. So to bring things to a conclusion on Slide 20, our focus remains on delivering positively for all our stakeholders. The business has performed well through another quarter and demonstrated clearly the inherent resiliency and ongoing opportunities for growth in a diverse rental business. We are operating from a position of strength in all geographies we serve, and we'll continue to take advantage of the apparent and ongoing structural change in our space as we further develop and broaden our end markets. We are pleased with our performance, but not losing sight of the work ahead nor the broader economic and near-term construction market uncertainty. The record levels of free cash flow our operations generated should not be overlooked. Our confidence never wavered in our model's ability to generate strong free cash flow, which allowed for ongoing investment in current and future business opportunities while bringing leverage to the lower end of our target range. The results in the period and strength in our market position allows us to look to the future with confidence. And on a final note, I look forward to seeing each of you, albeit virtually, during our April 20 Capital Markets Day, when Michael and I will be joined by a broader collection of the team to speak about our exciting growth plans. So with that, operator, we'll now open the lines for Q&A.
Operator: [Operator Instructions] So the first question is from the line of Will Kirkness from Jefferies.
WillKirkness : I've got 3 please. Clearly, I know it's only March 2, but if you could give us any one view on February, that would be great. Secondly, just starting at that minus 3% rental revenue growth in the U.S. This fleet looks perhaps very slightly smaller than a year ago. Utilization, about the same. And rental rates seem to be flat. So just trying to get that all linked together would be great. And then lastly, just on inflation. Have you seen anything in either rental fleet cost or wage costs?
Brendan Horgan : Will, in terms of February, obviously, hot off the presses, but on a billings per day basis, it’s kind of minus 2.5% in the U.S. Moving to your fleet and utilization piece there, as you would have seen, you sort of went through the construct, if you will. Fleet is a bit smaller than it was this time a year ago and throughout really the quarter. Utilization’s just a bit better as we sit here today. It was trending that way for the better part of the quarter, with the exception of some of the storm impact that we saw throughout the South and East Coast of the business. But I think the way to look at it, if you look at that minus 3%, all those rates, as we’ve said, often have been sequential through this period, and they remain. You still have a delta year-on-year because, of course, during this time last year, we would have seen that rates going backward a bit seasonal. So I would make that up as to say sort of 2% of that would be rate and 1% of that would be volume, based on what I answered earlier. In terms of inflation, obviously, there’s inflation in the marketplace when it comes to some of the materials as it relates to construction, which has been rather prevalent over the last couple of quarters, which actually is not a bad sign when it comes to our ability then to turn what has been sequential rate into rate gains. In terms of our equipment, we’re not seeing that translate. Obviously, when we look at our replacement CapEx spend, we look at a life cycle inflation and our life cycle inflation is in the 2% to 3% neighborhood, which is quite good actually, considering a roughly 7-year average. And in terms of wages, yes, I think that’s certainly there. We have given increases this year, particularly to our skilled trade workforce, and that’s where you definitely see the pressure. You see the pressure in the areas like drivers, mechanics, et cetera, primarily. I hope that answers what you’re looking for.
Operator: Our next question is from the line of Neil Tyler from Redburn.
Neil Tyler : Two questions on rate to start with and then one on M&A, please. Firstly, you've been, I suppose, increasingly assured in your comments around rate over the past 6 months or so. At what point do you think you can sort of genuinely call the end of the -- the risk for this cycle, at least? I know it's a difficult question to ask, but I would be interested in your perspective on that. And then second question, compared to the previous downturn, to what extent are small local competitors less relevant in dictating the rate environment that applies to most of your business, specifically in the U.S. again? And then on M&A, you mentioned your team. As they survey the opportunities available to them, could you give us a sense of what the landscape looks like and whether those asset owners with whom they're engaged are more or less willing to sell after the 12 months that we've just been through? Or have the sorts of businesses that you're -- most interest to you, attracted or become more expensive?
Brendan Horgan: Sure, Neil. To begin with rate, it’s a good question, actually. It’s one we’ve been asked on a number of occasions, as you can imagine, less so on these calls and more so on one-on-one. When can we actually say, okay, we’ve talked about it enough. There have been enough concerns out there. And when can we say in a cycle, look no further than what we’ve gone through. And I would actually say it’s a reasonably straightforward one to answer, and that would be, I will put that flag in the ground, so to speak, when we actually chalk up a few months of sequential rate improvement from where we are today. And as I mentioned, if you look at the sequentially flat nature of rates we experienced during the quarter when ordinarily, during this time, you would have a seasonal decline, I think that speaks to a really positive outlook for rates as we enter spring. We’ll ask the question about inflation. And there are inflationary impacts that are in the marketplace, which, for us, make those conversations a bit more – a bit easier, if you will, to – or with our customers. And certainly, in terms of our messaging to our sales force when it comes to why we believe there is better rate to be gained. So I look forward to give an update on that, and we’ll see whether that comes at the Capital Markets Day in April, where we’re able to speak to some positive rate momentum or it waits until Q1. But I am anticipating some rate, and I think we can put that story behind us for the period or for the time being anyway, when we get to that point. When it comes to the independents versus the likes of the leaders, if you will, in the industry and their influence on rate, I think there’s a few things. First of all, more than we would have seen at any point before, I think that there is a big, big part of the industry that actually looks to the leaders within the industry in terms of what they are messaging, what they’re seeing, what their results are. These independent business owners are incredibly proud people. They do not take rate lightly. They understand the impact of rate on a business like ours. So I think more than anything, what we’re seeing is we’re seeing this follow the leader, if you will. And I would remind you that if you think back to when we saw a material degradation in rates back in that 2008-2009 time frame, I would go so far as to say it wasn’t the independents causing that. It was really the higher end of the rental industry leaders, if you will, that were the ones that would have initiated that fall that we experienced. And again, today, you’re seeing something very different. And the other thing I think that’s worth noting, I think we’re seeing a tremendous – or we’ve seen a tremendous flight to quality during this period, where customers’ expectations, whether it be health and safety, whether it be technology, product specification, age of fleet, et cetera, brings more of these customers towards the likes of Sunbelt. And I think that rate isn’t the differentiating factor, if you will, that it may have been at some points previously. Moving on to your last question around M&A. And as I said, we’re really pleased to be back in that when it comes to actually progressing from just discussions to LOIs and that small bolt-on I mentioned that we closed on February 3. There is – the honest answer is there are both camps. There are owner – business owners out there that we’ve been engaged with for quite some time that would probably like to see a bit of a repair to their P&L, if you will, over the next 12 or 18 months, which is perfectly fine. And we will stay engaged. And I think a number of those will be opportunities that will be 4, 6 sort of quarters out. I think we’ll see a rather large opportunity at that particular juncture. But there are still a number that have weathered this reasonably well that are quite content to move forward. And as I mentioned in my – covered in the slides there, we do anticipate to close on another one or 2 before the year is over. So the key to understand in all that is I mentioned the team of business development. We have a group of people that we sort of refer to as those that make up our ground game. And these are individuals that are out there in the market always and they are helping us expand, whether it be finding the locations or markets in which we will advance our greenfields or working with business owners out there to basically say, “Hey, our plans are to enter this market in this particular space. But we’ve long known you. And let’s talk about what your plans are.” So we’ll see a lot of opportunities there. And as I said, it is still remarkably fragmented and there are – there is a long, long list of potential bolt-on for this business.
Operator: Our next question is from the line of Annelies Vermeulen from Morgan Stanley.
Annelies Vermeulen: Thanks for the update. Three questions from me as well, please. Firstly, just a quick one on that February exit rate you were talking about. Could you give a little bit of color as to the impact within that from the snowstorms in parts of the U.S.? I'm assuming some of the construction sites were shut down, but then perhaps you did a bit better on specialty from clear up and general residential and so on. So any color on that would be helpful. And then secondly, on your CapEx guidance, if you could give some color on how you see that evolving between specialty and general tool, particularly if you think about the implied rental revenue growth from that and how you see those 2 parts developing? And then lastly, you obviously talked about the leverage being very low in historical terms. So I'm just wondering what else are you looking for before you potentially restart the buyback? Or is it just a case of you're seeing better capital deployment opportunities in some of those bolt-ons and greenfields that you've talked about?
Brendan Horgan : Great. Annelies, I'll -- starting there with that February exit rate, you basically summarized it as well as I could have. When you look at that, certainly the storms, as you would expect, our specialty business, predominantly our power and HVAC, climate and air quality and flooring businesses, were very active responding to Texas, Louisiana, Oklahoma and along the Northeast seaboard. But at the same time, we would have had some transactional woes, if you will, in that general tool business. So I think you've sort of comprised that pretty well. It's encouraging to see as that has abated the activity continuing, which you'll see on that fleet on rent chart on Slide 13, not just in specialty, but in our overall business, we've seen that pick up. When it comes to CapEx, certainly, we've just guided to that overall range and not broke it down as we have at various points between replacement and growth. And we certainly don't get into the detail around what part is specialty, what part is general tool. But I would just generally look at it this way. If you take a -- if we use $1.3 billion instead of the $1.3 billion to $1.5 billion in the U.S., I'm speaking here, we have plans to dispose of original equipment cost of about $825 million. So certainly, you're going to have some corresponding replacement as it relates to that. So if you have replacement in that $700 million to $800 million range, that would leave $500 million to $550 million in what you would call growth, and that's going to be made up between existing store growth. And certainly, at this juncture, that's going to be weighted very heavily to our specialty business. And then you have a reasonably large dollop of that, that will fuel or fund our greenfields that we have planned for the coming fiscal year. And if you use that round math, you're going to have a $400 million or $500 million larger fleet at the end of the year than we would have had at the end of -- or we will have at the end of this year. And that kind of gets your single -- you're sort of mid-single digits growth that we indicated for the year. So that's kind of how it all hangs together at this very early view. From a capital allocation standpoint, specific to your question around buyback, and once again, like the first question, I think you answered it pretty well. As we sit here today, our allocation priorities are no different than what they've always been. So if we can invest in existing location, a CapEx for new rental fleet, where we can open greenfields or as we've turned now to a return to bolt-on M&A, we prefer that. It's good growth. It's accretive growth. But nonetheless, the buyback will remain part of our overall capital allocation strategy. We're going to get through the next several weeks, and I'm certain that we will have an update on what our plans are specific to buyback come our CMD the 20th of April.
Operator: Our next question is from the line of Robert Wertheimer from Melius Research.
Robert Wertheimer: I apologize if I missed the nuance in your prepared remarks, but the fleet sale that you did that was through less-than-ideal channel or whatever, was that related to the U.K. just sort of restructuring and cleaning up? And then the margin impact was total company? Could you just clarify those 2 things?
Michael Pratt: No. Most of it is more a reference to the U.S. where there's a bunch of sort of oil and gas, old oil and gas fleet, which you know sort of how that gets wear and tear. So it's not exactly in the best condition. And also the channel, so the majority of our stuff in this period has gone through the auction channel rather than the other channels, retail or otherwise. So that's what put downward pressure on sort of on margins.
Brendan Horgan : Yes, Rob. If I could just add a bit there to Michael’s point. Obviously, you’ve seen this for some time in terms of our overall channels, and we certainly believe we will, over time, improve our retail mix. But certainly, during – throughout this year and certainly in the quarter, we’ve been incredibly focused on supply, as we’ve said so many times and as we referenced, the industry overall supply management on Slide 15. But I just wanted to take this opportunity to point out a pretty positive trend we’ve seen, albeit early when it comes to secondhand values, particularly through the auction channel at that recent February auction that we had in Orlando, that annual 7-day sale. And there was some real strength that came out of that in terms of second-hand values. So just to point out, very positive sign as we enter spring.
Operator: Our next question is from the line of Rory McKenzie from UBS.
Rory McKenzie: Two for me, please. Brendan, on that balance of fleet supply and demand, given those industry forecasts for mid-single-digit construction declines this year, do you think the industry will have to keep shrinking its fleet? Just you're obviously signaling you expect to now return to fleet growth. Wondering if you think others will start to follow. And then secondly, the cost base for you is pretty unchanged. I think it was down just 2% over the 9 months in the U.S. but imagine there's been lots of cost-cutting efforts in the background while you've still been protecting your capabilities. From here, what costs have to go back in, now you're expecting a return to growth? And so I guess what drop-through should we expect on that return to growth in the year ahead?
Brendan Horgan: Sure, Rory. So I think the best way to look at it. I mean, when I refer to that Slide 15 that we have in Q3, and will we see, given the construction forecast – and I’ll remind you, even though I know you know this, when it comes to our end market that makes up less than 50%, so we have extraordinary activity outside of construction. But actually, construction has been performing reasonably well through all of this, and we’re encouraged with some of the recent starts we’ve seen and certainly some of the forecasted starts we’ve seen. And although the put in place is forecasted to be lower in 2021, we will see a return to growth in starts. And obviously, there are a number of component parts in all of that. But in general, when I look at the overall industry and we say, okay, the industry fleet size is 5% smaller than what it was. Our fleet size, of course, is not 5% smaller than what it was. It’s about 0.5% smaller than what it was. And yes, we will return to growth. However, that’s fairly small going from virtually flat to some degree of growth that we’ve just described. If you really think about it, it’s going to be driven – or the answer to your question will be unfolded over time, and it’s going to be based on utilization. So on Slide 15, if you look at the bottom left, as the industry gets to a better time utilization point, like what we’ve seen now, which is getting to where it was a year ago, I would caution that even if we think about the time utilization levels the industry was experiencing a year ago, it’s probably still a couple of points below where most would have liked to have been operating. So I think what we’re going to see is we’ll see this continuation of supply more or less getting in line with what that demand is, generally speaking. But as we see time utilization return, I think you’ll see a few that will be out there that are willing to invest a bit more in so-called growth. But there’s quite a bit of investing to do just to get back to where it was. So it’s going to be a bit of a moving target. We, of course, have opportunity to invest hours in a program really unlike what others are doing out there with a rather aggressive greenfield plan, which, again, not to defer every question that we’re going to get today to the Capital Markets Day, however, we will unveil precisely what our plans are from a greenfield standpoint over the next few years and even detail as specific as this coming year. So I hope that, in general, that covers what you’re looking for there. When it comes to cost base, you’re absolutely right. As Michael has covered throughout this COVID year that we’ve been in, obviously, we have – we took the decision early on to retain our workforce and not go through layoffs or redundancies. It doesn’t mean that we have not had some degree of attrition. So we do – we are operating today with a lower overall head count than what we had a year ago. But certainly, there will be some things that will return at some level. I don’t anticipate in 1 year’s time, they will return to what they were. But things like travel, let’s face it. Through this period of time, although we are an incredibly hands-on business, our leadership throughout the business has learned to adapt and perhaps travel a bit differently than they would have before. Certainly, we’re going to have – as we get a return to even better activity and even better time utilization levels, you’ll see some things around wages, not specific to base wages, but certainly around overtime as transactional activity picks up even more, you’ll see additional freight costs, et cetera. But in general, I would stick to what we’ve talked about for quite some time from a fall-through standpoint, an EBITDA fall-through standpoint, we would be in that 50% range.
Operator: [Operator Instructions] Our next question is from the line of Daniel Hobden from Crédit Suisse.
Daniel Hobden : Just two from me, please. I know in the past, and I think even in today's statement, you've called out the impact of hurricanes historically. As our sort of focus now shifts towards FY '22, is there anything you can say around the quantum from COVID and COVID-related support that you've had as a tailwind in 2021? And maybe how we should think about that support trending through 2022? And then the second question is around market share gains. I know it seems to be every quarter that it is being called out as above-market growth rates. And I think you've got a target of 15% market share in the medium term. I was just wondering if you could talk at all about the sort of trajectory to that, the time line to get to that and what you see as the drivers for driving that market share even higher?
Brendan Horgan : Sure, Daniel. So your first question was around hurricanes but shifted from hurricanes to COVID. We’ve definitely quantified that, the hurricane revenues, particularly in quarter 2, as we will come on to those from a comp period standpoint in the next quarter, too. When it comes to COVID, it is one that – in North America, certainly in the U.K., it’s one that we – it is – we’re relatively – it’s relatively easy to ring-fence the revenue contribution from that, which you would have heard in Michael’s commentary. In North America, it’s a bit more different. Generally, the way that we have added it all up, if you will, is it’s about the same size as our traditional live event space had been. So in general, the way that we see that transpiring is, certainly, we still have a degree of COVID response-related activity ongoing, whether it be testing sites, vaccination sites, et cetera. And over time, let’s hope that will abate. And as we get further through this process and over time, whether it’s precisely in accordance with or along the same line as the decrease in COVID, we see this uptick in live event, I doubt it will be quite that positive. So there’s probably a period whereas we have a decline in COVID-related response that outpaces the return to live events. But in general, that’s the way that we look at it. And for the long term, we certainly expect that our live events business will come back incredibly strong. But it’s just going to be sort of the interplay between the 2 of those is the way that we have, I think, best to categorize that through this period. When it comes to your market share question, you’re right, we’ve indicated 15% for some time. You might hear some update on that come April 20 as well. But in general, that’s where we stand. Yes, we have. We have clearly gained share. All of you obviously follow our publicly listed peers, and you can sort of do the math there yourselves. But also when we look at the overall industry, and certainly, the overall industry that was – the latest update revised the 2020 rental market to minus 12%, which was previously forecasted to be minus 13%. On a calendar year basis, in North America, our rental revenue would have been minus about 2.5%. So clearly, that’s an outperformance. And you can see in 2021, the market is forecasted to grow at 1.5%. We have it rounded there to 2% on Slide 14. And clearly, we expect to return to growth at a rate higher than 1.5%. But the – as we’ve gone through this period and certainly the years leading up to this, we continue to believe that there will be further consolidation in the industry, and we will continue to gain share in a demonstrable manner. So rather than saying what we think precisely that target might be, we’ll yield that for another time.
Operator: Our next question is from the line of Jane Sparrow from Barclays.
Jane Sparrow: Two questions, please. The first one is just coming back on Will's question earlier about equipment price inflation, where I think you said you'd seen 2% to 3% over the sort of 7-year life cycle. Obviously, over the last 7 years, you've grown a lot of the business, so your own equipment price inflation has presumably benefited from procurement-related economies of scale. Is it realistic to expect that you can continue to drive those type of procurement savings? Or as we look forward over the next, say, 4 to 5 years, would we expect equipment replacement cost inflation to be higher as you lap some pretty hefty years of replacement spend? So that is question number one. And then the second one, just on oil and gas, which I appreciate is a relatively small part of the pie now, but has been a drag through the year. I think it was in double-digit decline from February onwards. So are we at the point in the fourth quarter where that drag ceases and it just gets absorbed back into specialty reporting? Are you intending to continue splitting that out?
Brendan Horgan: Well, I’ll start with your second first. Yes, you’re right in terms of the lapping there of that weakness. We – it will always be separated out. Frankly, it was never part of our specialty business. It just so happened to be lumped inside of that from a reporting standpoint. But it will remain that way. We’ve seen, obviously, oil rebound a bit. And we’re seeing that to some small degree in our upstream business, but we’ll leave it that way. On the second question surrounding equipment and inflation, I think all – the way which you characterize it, of course, is true. Our buying power strengthened over that period of time, that replacement would have happened. So I would say a couple of things to bear in mind. Although, yes, we’ve had that purchasing power improvement, and there has been underlying inflation, of which I’ve quoted, so certainly, I would say, if we look at someone with a significantly smaller fleet size, I don’t think they would be able to say that life cycle inflation would be 2% or 3% as we’ve quoted. So we would have gained overall on our pricing advantage. Looking forward, Jane, it’s really a difficult question. I mean I can look to this coming year and this coming year is going to be in line with what the current year has been. I think there’s a lot of – there are a lot of factors that are going to weigh into what inflation looks like for assets we’re buying today that we replace 7 years from now, specifically relating to what do we see from an environmental advancement standpoint. We will, of course, be leaders from an ESG standpoint. Not only are we buying the latest and greatest and cleanest engines that power our equipment today, but we’re also going to be innovators in terms of moving away as best we can and as technology will allow to go from diesel-powered equipment in some cases to battery-powered, to electric, hydrogen, who knows. So I think there’s a – I think there are a number of contributors to that overall. We feel incredibly strong with the partnering position that we have with our primary OEMs. And I think we’ll continue to see, most importantly, the pricing advantage that we see to the broader fragmented market that we experience today.
Operator: So our last question is from the line of Rajesh Kumar from HSBC.
Rajesh Kumar : Just in terms of the secondhand market, you gave us some decent color that prices are reasonably stable. If you look ahead, obviously, just thinking about the holding period of the industry, the supply is likely to rise over the next couple of years. Is there a risk of pressure developing from a supply of secondhand kit in the market? And the second one is on the -- you just briefly touched on the electric versus hydrogen opportunity. Can you flesh out how big that could be in terms of the entire part of your asset base? And just finally, when you look at the rate of inflation you're getting, you seem very confident about the drop-through margins. I appreciate that. Is that because of the duration mix of your rental? So because you've got more specialty, so you're getting longer duration, so you've got a bit more clarity on what sort of rates you might be getting to offset some of the wage pressure? Or is it just -- the markets are so strong that you can pass through such inflation?
Brendan Horgan: Why don't I start with the last there, just to make sure I've captured that, what you're looking for. Look, from a rate standpoint, yes, there is an inflationary aspect. But I think cleanly put, we just feel like we can gradually increase rate over time in the current environment. So the current supply and demand characteristics in the market, the current flight to quality that I mentioned previously, we are reasonably confident that we can tick rates up. I'm not talking about a 5% rate increase in the year to come, but I think we can certainly see progress, sequential progress, which will ultimately lap into year-on-year progress. And that's our view. I think we're seeing some early signs of that as we speak, given what I've pointed out that ordinarily, throughout this quarter, we would have seen a decline, and we have not, which really means there's some underlying rate improvement in that. When it comes to secondhand values and your question there, certainly, there will be a larger fleet disposal in general. But if you think about it in terms of the overall industry and the overall industry's fleet size and its relative contribution to the amount of fleet which is sold, it's only marginally larger than what it would have been in previous periods. The big difference is that you have a far larger percentage of that fleet within just a few companies. So in other words, ourselves and some of our larger traded peers, if you will, who will be far more disciplined in terms of disposition, far more thoughtful in terms of precisely where it may go and when it may go. And there's also another thing perhaps you haven't thought about, and that is for the foreseeable future, we're likely to be in a position whereas you have a number of OEMs who have geared down over this period of time. So you'll kind of come across this inflection point whereas, us, of course, given our CapEx steer we've just guided to for the coming year and some of our larger peers doing the same thing, where we will actually absorb a rather large dollop, if you will, of what the primary OEMs to the industry will supply. So in other words, there won't be an abundance of new equipment available, which, of course, has a positive influence on secondhand values. Your other question was about -- because I had touched on electric, battery and other alternative fuels. Think of that as over a long term and not overnight. We have a rather large electric fleet as we -- that makes up our fleet today. One of our largest categories, of course, is electric scissor lift. It's our second largest category out of our roughly $10 billion fleet. And that is -- that will continue. It will evolve even further to be even more electrically driven, requiring fewer rubber hoses and hydraulic fluid, if you will. But there are -- there's increasing appetite from our customers for alternatives to some of the diesel power. But remember, one thing that we have is, of course, virtually 100% of our diesel fleet is Tier 4 final. So it is the cleanest engine technology that's available, and that is different than the broader fleet that would be found in the marketplace. But certainly, we would anticipate a migration over time as technology allows. And I think we will be a vital ingredient to that to come up with alternative solutions, but there's a lot of work to do on that front, and that will happen over a very long period of time.
Rajesh Kumar: That was quite comprehensive. Really appreciate that. Just if I may, on a housekeeping point, you very helpfully used to provide statistics on the margin differential between the greenfield bolt-ons and the branch mix. Are we okay to use the historic statistics at the current level? Or have those numbers changed meaningfully in terms of where the margins are by vintage of the branch?
Michael Pratt : Well, I think in the year that we've been through, that obviously gets a little bit more blurred as to how the individual or the relative margins within those businesses. But as you go forward, we talk about our greenfields tend to take about 3 years to get up to average margin levels or average performance, whether that be ROI or margin. So as we go forward and as we continue to open greenfields, they will lag the average and then sort of get to sort of maturity after sort of 3 years or so. Having said all of that also, as you know, and as we'll talk about in April then, those greenfields, as we open going forward, there will be a greater bias towards specialty. And as again, it's a slight different dynamic in terms of relative margin and the return to specialty businesses. So I think the trend or the direction of travel is still consistent with the past. But as we move forward, there'll be a sort of greater mix of specialty in those greenfields rather than general tool.
Rajesh Kumar: Understood. So at the full year, we'll have the starting point for '21 so that if we are doing our projections based on that, it would be slightly more sensible? Or is that something you discontinued?
Michael Pratt: Well, I think we never – if you think, we’ve never in history – we haven’t provided on a consistent basis given margin. We’ve shown it as progression through because we talked about it being a cohort. And then we’re saying that more mature stores have a higher margin. You’ve got those that have been open for sort of 3, 4, 5 years. It does turn in towards it. And those that we’ve opened in the last year or 2 tend to be the lowest margins. Now that has always also got affected by what we do in the way of bolt-ons because the bolt-ons you buy can be very different in terms of – if you buy a specialty business or it’s a specialty bolt-on, then it tends to be lower margin when you buy it. Whereas if you add an AWP business, a powered access business, then their margin dynamic is very different, so it sort of get influences by that. So I think there’s not a – you can assume that our greenfields are at a slightly lower margin from the average. But with the moving pieces, it’s not exactly – it’s more of an art than a science, I would say, in terms of exactly what – in terms of your model.
Operator: So we have no further questions. So I'd like to hand back to Brendan for any closing remarks.
Brendan Horgan: Great. Thank you, operator. Thanks for taking the time, all of you this morning, to hear our update. And I think most importantly, we look forward to hosting you, all of you, albeit in this virtual setting we will have, on the 20th of April at our Capital Markets Day. So until then, have a great day.